Operator: Welcome to Post Holdings' Second Quarter 2019 Earnings Conference Call and Webcast. Hosting the call today from Post are Rob Vitale, President and Chief Executive Officer; and Jeff Zadoks, Chief Financial Officer. Today's call is being recorded and will be available for replay beginning at 12:00 P.M. Eastern Time. The dial-in number is 800-585-8367, and the passcode is 4016209. At this time all participants have been placed in a listen-only mode. It is now my pleasure to turn the floor over to Jennifer Meyer, Investor Relations of Post Holdings for introductions. You may begin.
Jennifer Meyer: Good morning, and thank you for joining us today for Post's second quarter 2019 earnings call. With me today are Rob Vitale, our President and CEO, and Jeff Zadoks, our CFO. Rob and Jeff will begin with prepared remarks, and afterwards, we'll have a brief question-and-answer session. The press release that supports these remarks is posted on our website in both the Investor Relations and the SEC filing section at postholdings.com. In addition, the release is available on the SEC's website. Before we continue, I would like to remind you that this call will contain forward-looking statements, which are subject to risks and uncertainties that should be carefully considered by investors as actual results could differ materially from these statements. These forward-looking statements are current as of the date of this call and management undertakes no obligation to update these statements. As a reminder, this call is being recorded, and an audio replay will be available on our website. And finally, this call will discuss certain non-GAAP measures. For a reconciliation of these non-GAAP measures to the nearest GAAP measure, see our press release issued yesterday and posted on our website. With that, I will turn the call over to Rob.
Robert Vitale: Thanks, Jennifer, and thank you all for joining us to review our second quarter. In short, we had a solid quarter in which we overcame some external headwinds to deliver a good result. You likely saw that yesterday, we announced our acquisition of TreeHouse's private label cereal business. This expands our ability to drive manufacturing and logistics efficiencies throughout our supply chain. We will fund these with cash on hand and it will be immediately accretive to free cash flow after one-time costs of $25 million to $30 million. We expect to close this transaction in our fourth quarter assuming we receive the requisite approval. This morning, I will briefly comment on each business and update you on the progress towards our Active Nutrition IPO. Before that, let me highlight what I meant by external headwinds as they impact multiple segments. Extreme weather in the upper Midwest affected our supply chains at Michael Foods, refrigerator retail and Post consumer brands. This caused us to incur incremental cost of approximately $2 million to maintain service levels. Second, and we believe for the same reason, Michael Foods restaurant channel foot traffic was below trend in January and February. It had a decent rebound in March, which gives us confidence to attribute this two other events throughout the country and perhaps to government shutdown in January. With that out of the way, let me begin with Post consumer brands. Within Post consumer brands, we had a strong consumption, which underscores the continued health of the business. Consumption dollars were up 2% at track channels this quarter and our branded market share reached 20.4%. The innovation we have introduced in licensed brands is performing well. We had some standouts and some laggards, but we are quite pleased with the overall performance. We continue to seek to broaden our innovation pipeline to more effectively re-engage consumers with the category. Our cereal shipments lagged our strong consumption results this quarter. Promotional changes in non-measured channels, coupled with fluctuations in retail inventories accounts for the difference between consumption and shipments. We view the modest volume softness this quarter as timing, some of which perhaps benefited Q1, as our year-to-date results are strong. The nearly $11 million decline in segment adjusted EBITDA mostly results from manufacturing conversion cost increases compared to last year. Pricing offset most, but not all of inflation. This is a timing issue. More significantly, while we continue to improve our manufacturing costs from their peak in Q3, of last year, they remain elevated compared to last Q2. We are aggressively addressing this by introducing more sophisticated integrated business planning. The goal is tighter connection across our business from demand planning to production which should result in more accurate planning, more efficient manufacturing and lower waste. We expect to continue to improve throughout the year and into 2020. Once the TreeHouse assets are acquired, we will incorporate them into our optimization work. As I mentioned, we also incurred unusual supply chain costs. And finally, we've added some consulting expenses aimed at accelerating cost reduction into 2020. Michael Foods had a solid quarter but grew below our expected long term growth rate because of the channel traffic issue I just mentioned,. Traffic rebounded late in the quarter and we have seen strength in April. We see no change in the trajectory of the business. Our refrigerated retail segment also had a solid quarter. With respect to prior year comparisons, it's a bit challenging, because last year short 11 days due to the timing of our acquisition of Bob Evans, but it includes Easter shipments. This year the Easter impact occurred in April. The theme continues to be very strong growth in Bob Evans side dishes and good profit realization in the balance of the products. The exception is cheese in which we continue to struggle with distribution losses. Broadly across the segment, we continue to see margin expansion opportunities to manufacturing network optimization. I'm extremely proud of the Weetabix team and the work that has gone into resetting our promotional strategies. We saw meaningful bottom line improvement in the results this quarter with segment adjusted EBITDA growing 13.5%. The progress is even more pronounced, if we strip out the currency impact, which was approximately a 700 basis point headwind to our growth rate. Last quarter, I promised you clarity on Brexit, frustratingly, we have no further clarity to offer. The working capital increase we had built ahead of the anticipated March 29 exit date is being unwound, to the extent there is no further resolution we will rebuild working capital as we approach the new deadline of October 31. There is no further anticipated impact in fiscal 2019. We had a great quarter at Active Nutrition with adjusted EBITDA exceeding $50 million for the first time. You may recall that last quarter, to maximize supply, we temporarily limited our assortment to two of our previous seven flavors. This quarter we reintroduced our full line of flavors and the consumer response was terrific. Our share of ready-to-drink protein and tracked channels now exceeds 16% and it's growing. We also have significant presence in un-tracked channels. On April 5th, we confidentially submitted the Form S-1 for our Active Nutrition IPO. We remain on track for a fall execution. We previously discussed execution in our fiscal year, however, as we have examined the calendar for financing, tax structuring and other activities, the process may extend into October, subject to market conditions. Finally, we lowered our adjusted EBITDA expectations for 8th Avenue to $100 million to $105 million. This primarily results from weak performance in the pasta business following the major ERP conversion. We expect a recovery in the pasta business throughout the second half of the year. Meanwhile, the balance of the business is performing to plan. Our capital allocation strategy remains unchanged, we are consistently evaluating the benefits of share repurchases, M&A and deleveraging and in the last several months, we have done a bit of each. With that I will now turn the call over to Jeff.
Jeff Zadoks: Thanks, Rob and good morning everyone. Adjusted EBITDA for the second quarter was $299 million with consolidated pro forma net sales flat year-over-year. Moving to segment performance and starting with Post consumer brands. Net sales declined 0.7%. Average net pricing, however, increased 3% despite unfavorable product mix compared to the prior year. Private label and licensed products had good volume growth this quarter, led by new item introductions and new distribution. This volume growth did not offset volume declines across the branded portfolio and lapping prior year promotions that did not repeat this year. Adjusted EBITDA for the segment was pressured by lower volumes, unfavorable mix and higher manufacturing conversion costs. Inflation in freight, commodities and wages were largely, but not fully offset by net pricing improvements. While gross profit margins and conversion costs continue to improve from the low point in the third quarter of last year, we have not yet returned to the performance levels achieved in the second quarter last year. Weetabix net sales declined 4.5% over the prior year primarily from weakening of the British pound as currency caused an approximate 700 basis point headwind. As we continue to lap our promotional strategy reset, year-over-year average net pricing improved 8% and was only partially offset by volume declines, which were in line with our expectations. As with the first quarter, the net price volume impact drove meaningful improvements in margins and adjusted EBITDA. While we carried some higher inventory stocks and accelerated some shipments to international customers during March, Brexit preparations did not have a material impact on results this quarter. Net sales in the Foodservice segment increased 1.6% on a pro forma basis with volumes up 0.9%, driven by solid growth in both egg and potato products. Volume growth, the greater mix of Foodservice versus ingredient volumes, synergy realization and pricing drove year-over-year adjusted EBITDA growth of 10.5% for this segment. This growth was despite a tough comparison to the prior year, which included excess profit from favorable egg market prices. Pro forma net sales for Refrigerated retail decreased 4.4% as a pro forma 5.5% increase in side dish volumes was more than offset by volume declines in all other products and lower average net selling prices in eggs. Bob Evans branded side dishes continue to perform well with volumes up 12% this quarter. Segment adjusted EBITDA was $47 million .The benefits of an additional 11 days of Bob Evans results, SG&A synergies and lower trade spending were offset by volume declines in higher manufacturing costs. Net sales in our Active Nutrition business increased 5.5%. Ready-to-drink shake net sales grew 13% with volumes up 4.8%. While shake growth was muted by short term capacity constraints, sales accelerated in the end of the quarter as we restored inventory levels, and once again began shipping all seven of our shake flavors. Adjusted EBITDA for the segment grew 55% benefiting from lower advertising and marketing expenses and changes in promotional timing. Pricing taking in the quarter is offsetting higher freight. In the second half of the year, we anticipate modest input cost inflation, and greater investment in our marketing programs, when compared to the first half of the year, both of which are expected to accelerate in the fourth quarter. Before we open up the call for Q&A, I would like to make a few comments on cash flow and capital transactions. For the first six months of the year, our cash flow from operations was $205 million, a moderate decline compared to a year ago when adjusted for the absence of the private brands business. The primary driver of this decline was an increase in net working capital resulting from three items. First, inventory builds across our businesses, the largest of which was protein shakes within Active Nutrition. Second, a receivable spike from the Active Nutrition shake pipeline fill in the quarter. And third, the timing of vendor payments; we expect operating cash flow to improve in the second half of fiscal 2019 when compared to the first half of the year. In fact in April alone, we generated approximately $120 million of cash, as some of the working capital timing began reverse. Regarding capital markets transactions, we repurchased approximately 400,000 shares at an average price of $97.66 per share for an aggregate of approximately $40 million during the second quarter. This brings our total share repurchases, year-to-date to approximately 700,000 shares for $66 million. Our remaining share repurchase authorization is approximately $240 million. Also, during the second quarter, we completed the redemption of our Series C preferred stock with the vast majority of our holders electing to convert their preferred shares to common stock. We now have approximately 73.3 million common shares outstanding. Finally, our net leverage at the end of the second quarter as measured by our credit facility was approximately 5.3 times. With that, I'll turn the call over to the operator for questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Andrew Lazar of Barclays.
Andrew Lazar: Rob, you've talked about the differential in Post consumer brands between consumption and shipments in the quarter and part of that was some inventory -- retail inventory reductions and such, and that is something we've heard a lot about across the cereal category broadly, but I guess in the back half of your fiscal year, would it be your anticipation that those two metrics -- correlate more closely, you know a modestly positive sort of shipment number or sales number going forward at PCB?
Robert Vitale: Well, without having perfect visibility into retail inventory, it's hard to answer precisely but what I would tell you is we would not expect to continue to run a lag several quarters in a row. So I think we would more likely see at worst case, a one-to-one relationship between consumption and shipments and hopefully we'll see a little bit of -- a little bit better than one to one.
Andrew Lazar: And then with respect to EBITDA in that segment; as there were some incremental costs that you mentioned in this quarter that maybe helped EBITDA back a little bit, would it be your expectation that EBITDA for the year -- for the fiscal year in that segment could still be up even modestly just given the way things lay out in the next two quarters?
Robert Vitale: Well, if you look at the guidance and as we've talked about throughout the year, we expect progression in EBITDA throughout the year, and that's true of PCB as well.
Andrew Lazar: And then lastly, would just be and there may not be much more you can provide on this, but with respect to the business that you're going to acquire from TreeHouse, anyway you can provide us a little bit more perspective on the underlying profitability of this business right now, obviously you talked about $15 million to $20 million go forward including synergies? I'm just trying to get a sense of what the underlying profitability metric is there and how much of an opportunity to improve on that there is even outside of just the obvious sort of deal synergies as they come together?
Jeff Zadoks: Well, as you can anticipate, it's a business that one, it's not optimized and two, it's embedded within the TreeHouse infrastructure. So to get to a true EBITDA level requires some assumptions around allocations which we largely chose not to do. We looked at more what the gross profit was less assumptions around what SG&A would be. So I think it's fair to say it's a business that needs some TLC in order to get it back to the profitability level at which we think it should and will perform and that within the context over the last several years and couple of owners has been underperforming.
Operator: Your next question comes from the line of Jason English of Goldman Sachs.
Jason English: I guess, let's pick up where we just left off on the acquisition of private -- of TreeHouse's private label cereal business. Can you help us understand the strategic rationale? Because I clearly get the opportunity for cost synergies given your manufacturing footprint but I've always viewed private label cereal as a tough place to do business given the abundance of supply out there and kind of the race to the bottom on bid process. Am I kind of misunderstanding that as your acquisition of Malt-O-Meal, your own private label to submit enough consolidation to improve the underlying dynamics in that category? Just would -- overall of your perspective.
Robert Vitale: Yes. Well, I think I would make a couple of comments. One, we are already a participant in the private label category within cereal and are doing reasonably well within it. Two, we think there are substantial cost opportunities that can be derived to make us an even more effective competitor and three, if you look at the footprint of our combined manufacturing network, it enables us to not only optimize costs -- both manufacturing and transportation cost more effectively, but it also allows us to avoid some capital expenditures that would be needed simply to maintain the ongoing network. So, it gives us a -- two very attractive factories which supplement our manufacturing base quite nicely. It gives us a distribution footprint that is bigger and enables more optimization and it is in a category in which we're already successfully competing.
Jason English: Understood, thank you. And on Active Nutrition, you mentioned that it enabled or so some of the great EBITDA growth in margins we've seen last couple of quarters, there's been a curtailment of spent given the supply chain challenges. As you re-engage on the reinvestment side what's the right level of margin to think about in terms of sustainable go forward here?
Jeff Zadoks: So, I'm going to answer that question just a little bit differently because we think that the unconstrained demand that can be generated by marketing will more than offset the incremental cost. But -- so we don't really know whether it's 19 to 20 or 21 to 22, it's in that general, I'll say, area code rather than zip code. But we think that the incremental spend around marketing will more than pay for itself.
Jason English: And last question for me and I'll pass it on. Foodservice business, we keep talking a lot about eggs, but if I recall correctly, there was a lot of optimism around what you're are going to be able to do with your potato business given your customer network in now your supply capabilities can you update us on the status of that?
Robert Vitale: Yes, it's gone exceptionally well. We have good mid-single digit growth rates within Foodservice, we continue to see growth at the -- in the end markets at --across channels restaurant and other institutional categories and the business has performed exceptionally well since the combination with Bob Evans.
Operator: Our next question comes from the line of John Baumgartner of Wells Fargo.
John Baumgartner: Rob, wanted to maybe start with the acquisition announced yesterday. And I'm mostly curious to how the asset fits into your broader plans. Is it helpful to you in the sense that maybe you're now open to more capacity for flakes maybe more so than Shredded and that also opens up some new doors for growth? Is it broader than just cost here?
Robert Vitale: Well, there are capabilities that provide that we don't have. It does help us with capacity that we need and you said flakes, we think about it as extruded, but it's the same platform. It's a bit broader than then flaking. So yes, I think it gives us additional capacities, where we actually are a bit tight and it gives us a few greater capabilities in terms of some multiple form products. And then I would simply repeat what I -- what I said to Jason.
John Baumgartner: And just a follow-up there on the cereal, the news in pricing has been -- it's really begun to accelerate the last couple of months and I presume a lot of that's related to some of the -- and your promos shift some of the low-single digit price increases as well, but the elasticity has also been a pleasant surprise as well as the baseline sales. So, could you comment at all on any changes in new approaches to trade or data analytic that you're going to be driving more of an opportunity for full price sales or squeezing more profit out of each box?
Robert Vitale: Well, I don't really want to talk too much about pricing, but I think that your observations are consistent with ours and we think that there are opportunities to the more sophisticated and the way we think about both pack sizes pricing and promotional strategies to make sure that we are more in line with both the trade and the consumer.
John Baumgartner: And last one from me on the nutrition side; we are getting, you know it's pretty close to the launch of the new Premier bars and I know that's been kind of the segment that's been a tough one for you over time. So can you walk us through how you're thinking about the go to market there and need the ability to piggyback off the rest of the premier franchise, and then maybe how we should think about that ACV targets for the first 12 months or so? Thank you.
Robert Vitale: So we have a great protein shake platform within Premier and it's performed, frankly beyond our expectation during the time in which we've owned it, but we have been frustrated with our ability to take that brand into traditional forms as effectively as we have in shakes. We have a decent-sized business in powders and we have a decent sized business in bars, but it is clearly sub-scale when compared to our shake business and what we're trying to do is to take some better flavoring or more indulgent products and work them into the overall premier protein brand promise in a manner that tries to complete the promise of the shake, with the promise of the bars in a category that frankly is more competitive because the barriers to entry are lower. So our ACV targets are high, but I think we are -- our optimism is tempered by the fact that it's a category and it being the bar category, it's a category that has a much higher churn rate lower barriers to entry and a much more fragmented competitive set than shakes. So, we are cautiously optimistic, but we want to have a very cool eye to where the potential for that form exists.
Operator: Your next question comes from the line of Timothy Ramey of Pivotal Research Group.
Timothy Ramey: Couple more on Active Nutrition, you had hinted that the ideas of alternate protein sources, perhaps egg protein, perhaps others and now that you're kind of back to ACV on seven flavors, should we expect more innovation in the ready-to-drink segment or are you going to just let that run for a bit?
Robert Vitale: I think it's incumbent upon us to complete the execution of the reintroduction first. So we have about 85% of that behind us, we have a modest amount yet to go and we want to make sure we nail the execution of a pretty complicated reintroduction that involve getting to the capacity of timing and the capacity of customer acceptance very much in line. So far it's gone exceptionally well, but we want to continue that. Beyond that, we certainly have innovation plans and I wouldn't want to pronounce in this kind of forum what the -- what the underlying foundation is, but we certainly think that the brand is one that we can innovate around.
Timothy Ramey: And then just one on the TreeHouse, just a clarification. Was the $25 million in costs, net of the tax benefit or exclusive of the tax benefit?
Robert Vitale: No. So the tax benefit is simply the fact that we are acquiring assets, so we get the benefit of stepping the assets up to fair value and amortizing them. The one-time costs are more like things like, we had some severance that will pay. We have some -- we'll have a project management team come in and work on us with integration, we have a handful of liabilities, we assume, that will pay off, things like that.
Timothy Ramey: Yes. And then back to your comments on Active Nutrition IPO status. I know you're maintaining optionality around that, but does this mean you don't expect to have a publicly-facing S1 until fall, or you think it -- the S1 would be filed sooner than that?
Robert Vitale: So we're in a process of having filed and received some comments from the SEC that we now have to respond to, but the cash flow -- I don't know the answer as to when we would actually...
Jeff Zadoks: It would become public-facing right before we begin our road show and probably not too far in that -- in advance of that. And the road show timing is of course timed against when we would expect to issue the shares to the market.
Operator: Your next question comes from the line of Chris Growe of Stifel.
Chris Growe: I just wanted to ask, as I think about the overall effect of Easter and in particular, in eggs, is there -- was there a push in shipments, especially in the Foodservice business into the third quarter, is that the way to think about that and that would have affected the volume in 2Q?
Robert Vitale: Less Foodservice, more retail. The impact is much more pronounced in our Refrigerated retail group than it is in Foodservice.
Chris Growe: In the context of pro forma sales being roughly flat in the quarter it seems, if you quantify like how much that could have been in terms of -- is it a big factor i should just assume looking forward in terms of the weak push into Q3?
Robert Vitale: It is significant. The April numbers -- there is a pronounced increase year-over-year from April versus the flattish March; so it's a very clear line between where Easter falls and what that cut off is between the March sales and April sales.
Chris Growe: And then I just was curious, in terms of the consumer business and your pricing in relation to cost inflation, you do have pricing in place, you have cost inflation as well. It seems like maybe the prices did not fully offset the costs. Do you expect to be able to do that broadly over the course of the year?
Jeff Zadoks: On a run rate basis, yes. On a full year basis, no, because of the timing of inflation preceding pricing.
Chris Growe: And just one final question in relation to like the uses of cash, even buying back some stock, a little bit year-to-date, you also have a lot of these large food companies looking to sell brands and assets, are those -- are you seeing enough in the pipeline to where you want to kind of modify your share repurchase plans or sort of get an idea of where we think about cash flow going for the year in your acquisition pipeline?
Robert Vitale: I wouldn't change anything we've previously said that we tend to look at everything. I think -- I think we've said this to most of you at one time or another, is that, as more growth embedded within our portfolio, the bar for M&A returns becomes higher because the opportunity to buy back shares is a more attractive one. So we constantly balance that and I think there will be plenty of opportunities for us to look at and there always remains a rich pipeline but between what we've got going on already on an integration basis and the relative returns that we have both internally and externally, we're not changing any of our outlook on capital allocation.
Operator: Our next question comes from the line of Bill Chappell of SunTrust.
Bill Chappell: Going back, I guess it was seven years ago, that the TreeHouse private label cereal business was married to the Post business, do you happen to know or what the margins of that business were at that time and is there any reason why this business structurally can't get back to something near that?
Robert Vitale: I don't know what the margins were then, but I would anticipate that we can get the margins consistent to our margin.
Bill Chappell: But you don't -- I mean there is -- is there things structurally that have changed to the private label business? I mean, lost major customers; I'm just trying to understand from a manufacturing standpoint why it would already be, kind of, so much lower than yours right now.
Robert Vitale: I think -- I think the one observable trend is that it's a business, it being -- cereal as a business, it has a fairly high fixed cost element to it and they have descaled meaningfully over the last eight years as the business has gone from RalCorp to ConAgra to TreeHouse; so simply the skies of the business hasn't enabled them to maintain the margin structure.
Bill Chappell: And then on 8th Avenue, just maybe a little more color on, I didn't fully understand kind of the weakness in past, and why that will come back in, then you know, I would have expected, if there was an announcement of a private label acquisition that would have actually first come from 8th Avenue. So, any update there?
Robert Vitale: Let me take those in reverse order. The 8th Avenue organization was established around private label categories in which Post was not a possible [ph] branded player. So that's -- the categories, cereal, potatoes and eggs are specifically carved out of the 8th Avenue mandate. So that's why it would not be an 8th Avenue versus would be in Post.
Bill Chappell: No, I understand that.
Robert Vitale: With respect to the performance, we -- and trying to create from three disparate companies, one company, as you recall, we had Attune, Dakota and Golden Boy in separate segments. So in the formation of 8th Avenue, our first effort was to create one common company from three and moving Dakota onto a JDE system -- a JDE PRP system caused a period of time in which we lost visibility to costing and rendered us really flying blind with respect to bidding and some of the needed functionalities of operating the business on a day-to-day basis. That is now behind us. The cost of that is reflected in the reduction in guidance for the balance -- for the 8th Avenue business. Decomposing the guidance a bit further, the bulk of that misses in the period-to-date and the balance of the year is largely intact to plan. So we see the business as having a largely corrected, but still require some mending as we get better visibility through better use of the JDE platform.
Operator: Our next question comes from the line of Kenneth Zaslow of Bank of Montreal.
Kenneth Zaslow: Just a couple of questions; one is, you talked about a more integrated business planning to improve forecasting, can you elaborate on what that means in the timing of that and what the process is and what the implications are of that?
Robert Vitale: Yes. So we are attempting to move our approach to business planning to -- and it starts with a demand forecast [ph] all the way back through production to be much more holistic across the organization as opposed to a more historical S&OP process, which starts with the sales force delivering a plan based on last year, moving it over to the manufacturing side and it being a bit too disintegrated with respect to holistic communication across the organization. What we're trying to do is bring more visibility across the entire organization into all aspects of demand planning to production, so that we can make that tighter faster and the result is, we are going to likely end up with fewer SKUs, better velocity of assortment and the ability to drive efficiencies through the plants, because we have fewer SKUs; that will also then lead to lower waste. Though it's a fairly comprehensive process that will take, say from now to end about a year, but there will be progression -- progressive improvements along the way.
Kenneth Zaslow: This may sound like an obviously-- but why didn't you do that last year or the other year but why now? And again I'm not going to be cynical, I just -- it's very illogical.
Robert Vitale: Yes. So if you go back to the history of the Post consumer brands organization, it results from two organizations coming together in 2015. So the very first step of that is to go after the low hanging fruit, which typically is not in manufacturing. So what we did from 2015 to 2017 is to go after things like SG&A, contract alignment, procurement, the things that were delivering that first $100 million of cost reduction when we combined the two plants. So as I think, we've talked about in past calls the -- what we now call Post consumer brands has been on a journey of two companies becoming one and now we want those two companies, having become one, to become more sophisticated and that was the turn we made in 2018.
Kenneth Zaslow: And then my other question is, just to go back to the acquisition of TreeHouses' private label. What are your key actions that you will be doing in the next 90 to 120 days?
Robert Vitale: Well, that's entirely dependent on regulatory approval. So we will do very little until we have regulatory approval. And then the first step will be -- assuming we get regulatory approval, the first step will be around IT integration and attempting to exit the TSA just as rapidly as possible.
Operator: We have time for one more question. Your final question will come from the line of Michael Lavery of Piper Jaffray.
Unidentified Analyst: Hi, this is Jeff [ph] on for Michael. Good morning. Just curious how could African swine fever potentially impact the Bob Evans business? Specifically how much higher -- how much could higher [ph] costs be a headwind and how much ability do you have to potentially pass on pricing?
Jeff Zadoks: In any one quarter, we could be challenged to pass on pricing. But I want to first contextualize that the sausage business is about $20 million of EBITDA out of our forecast of $1.2 billion to $1.4 billion. So it's not a terribly significant source of risk for us. But on a percentage basis, it could impact that $20 million. Over time, we will pass it through. What we can tell you is, if the sale price moves very rapidly in a short period of time, will it cause some intra-quarter pressure on that $20 million, perhaps it will.
Unidentified Analyst: That's helpful. Thank you very much.
Jeff Zadoks: Thank you.
Operator: That does conclude today's Post Holdings' second quarter 2019 earnings conference call. We thank you for your participation. You may now disconnect.